Anthony John Habgood: So good morning, ladies and gentlemen, and welcome to Reed Elsevier's Interim Results Announcement for 2014. Thank you, all, for coming here on this busy morning. And for those of you on our webcast, thank you for taking the time to listen in. I believe we produced another good set of results with EPS and constant currencies up 11% as a result of underlying sales being up 4%, 3% without exhibition cycling; underlying operating profit up 5%; lower interest charges; and the slightly smaller number of shares in circulation. PLC, EPS and sterling are up 5%; and NV in euros, up 8%. Taking all these increases in EPS into account, and of course, our dividend equalization formula, we're recommending interim dividends increases of 5% for PLC and 14% for NV. You will not be surprised to hear that we're continuing to execute on our strategy of -- on our strategic and financial priorities. And that Reed Elsevier is continuing to evolve. The benefits of that evolution are, I believe, becoming evermore apparent, and we're well positioned to continue to grow into the future. Duncan will now take you through the financial results, and Erik will describe our strategic and operational progress in detail. Thank you.
Duncan J. Palmer: Thank you, Tony, and good morning everybody. I would like to start this morning with the financial highlights for the first half of 2014. Primary measures of revenue and operating profit growth are on an underlying basis, which exclude the effects of currency movements and all of the acquisitions and disposals which took place in 2013 and in 2014 to date. In the first half of 2014, underlying revenue growth was 4% or 3% excluding the impact of biennial exhibition cycling. Underlying adjusted operating profit grew 5%. Adjusted profit before tax grew 8% at constant currencies, driven by operating profit growth and lower interest expense. Adjusted earnings per share grew 11% at constant currencies benefiting from buybacks over the last 18 months. Operating cash flow conversion was 89%. I will now go through the profit and loss statement in more detail. I will present the results in sterling. In the appendix, you can find the equivalent euro-denominated results. Revenues were GBP 2.8 billion, and adjusted operating profit was GBP 860 million with the adjusted operating margin rising year-over-year from 28.8% to 30.2%. Net interest expense was GBP 69 million, GBP 23 million lower than in 2013 reflecting the impact and timing of term debt refinancings at lower rates, exchange rate movements and certain one-off benefits. The adjusted effective tax rate for the first half was 23.5%, in line with the prior year. And we expect a similar rate for the full year. Adjusted net profit increased by 2% to GBP 603 million, and reported net profit was down by 11% to GBP 454 million. I will now walk through a reconciliation of adjusted net profit to reported net profit. The largest adjustment is for the amortization of intangible assets, which result from acquisitions such as brands, customer lists, content and software. The first half of this year has not seen the recurrence of a noncash deferred tax credit that benefited reported profits in the first half of 2013. Turning to earnings per share and dividends. Adjusted earnings per share increased by 5% for PLC and 8% for NV, the lower growth for PLC reflecting sterling's year-on-year strength against the euro. At constant currencies, adjusted earnings per share grew by 11%. We have declared equalized interim dividends that deliver a 5% increase for PLC and 14% for NV, the average of which is broadly in line with adjusted earnings per share growth at constant currencies. Now let's focus on the financial results of our major business areas. We've broken out the impact of both currency and portfolio actions on our reported results in arriving at our underlying growth rates. Looking at revenue, you can see that all 4 business areas grew underlying revenues in the first half, delivering overall underlying revenue growth of 4%. Reported revenues in sterling were impacted by a 7% currency headwind and a 3% reduction resulting from portfolio actions, the majority of which were disposals that took place in 2013. These 2013 actions were largely in the Legal business and in the Risk and Business Information business. Looking at adjusted operating profit performance. Underlying profit grew at or ahead of underlying revenue across all 4 business areas delivering underlying growth of 5%. The impact of currency movements on adjusted operating profit was similar to that on overall revenue. However, the portfolio impact was broadly neutral. Next, in the context of currency movements that we've seen in the first half, I'd like to spend a few moments describing Reed Elsevier's geographic revenue and currency exposure. The pie chart shows the geographic split of our revenues in the first half. Approximately half of our revenues are generated in North America with only 7% generated in the U.K. and 22% from the rest of Europe. Of the remaining 22% of revenues generated in the rest of the world, about 30% are denominated in U.S. dollars. As a rule of thumb, the full year sensitivity of adjusted profit before tax to a 1% movement of the dollar against other currencies is about GBP 7 million or EUR 9 million as we described in February. The impact on first half adjusted profit before tax was about GBP 40 million or EUR 20 million. Turning to cash flow. In the first half, we converted 89% of adjusted operating profit into operating cash flow, up from 85% in the first half of 2013. In the full year, we expect cash conversion to exceed 90%. Capital expenditure in the first half was 4.3% of revenues compared to 5% in the first half of last year, reflecting phasing of expenditure. For the full year, we would expect CapEx as a percentage of revenues to be around 5% similar to 2013. Depreciation was lower, principally reflecting currency translation. Our EBITDA in the first half was GBP 974 million. Moving to free cash flow. Cash interest paid was lower than in the first half of 2013 due to lower financing costs and the timing of term debt interest payments. The reduction in cash taxes paid was largely due to payment timings. Free cash flow before dividends was GBP 573 million compared to GBP 471 million in the first half of last year. After the final dividend payment of GBP 408 million, free cash flow was GBP 165 million compared to GBP 76 million in the first half of last year. Moving to the uses of our cash flow after dividends. In the first half, we completed asset disposals with a total consideration of GBP 26 million, spent GBP 95 million on acquisitions and deployed GBP 400 million in buying back shares. Net debt at GBP 3.3 billion was GBP 206 million higher than at the end of 2013, primarily reflecting the first half weighting of buybacks and dividend payments, partially offset by exchange rate movements. Our net debt-to-EBITDA was 2.3x on a pensions and lease-adjusted basis, or 1.8x on an unadjusted basis. Our debt is denominated in a number of currencies reflecting the global nature of our businesses with the majority of our borrowings in U.S. dollars. For the purposes of this slide, I will talk in dollar terms. At the end of June, we had net debt of $5.6 billion with gross debt of $5.9 billion, the difference representing financial instruments and cash. During the first half, we managed our debt portfolio through a number of actions, including the issue in May of GBP 480 million of floating -- $480 million of floating rate notes due in 2017. As a result of the actions we have taken, the interest rate on gross debt reduced from 4.8% in full year 2013 to 4.2% in the first half of 2014. And we would expect the rate to be broadly similar for the full year. Average gross debt is likely to be higher in the second half of 2014 due to the phasing of operating cash flow, dividends and buybacks. Looking at the debt maturity profile, you can see we have nothing remaining to refinance in 2014 and relatively little in 2015. Future term debt maturities are well spaced. The opportunity to reduce the average interest rate on gross debt through further refinancing in the medium term is therefore, limited. Finally, turning to the balance sheet. Net capital employed at the end of the first half was GBP 6.4 billion compared to GBP 6.6 billion at the end of 2013. The majority of our capital employed is goodwill and intangible assets associated with historical acquisition activity. The GBP 300 million decrease was mainly driven by currency translation with the impact of acquisitions more than offsetting -- more than offset by amortization and disposals. The net pension obligation increased reflecting the impact of lower long term discount rates in the U.K., U.S. and the Netherlands. Reed Elsevier continues to maintain a negative net working capital position driven by advanced receipts in our subscription and exhibition businesses. That concludes our overview of the financial performance in the first half of 2014. Now I would like to hand over to Erik to talk through strategic and operational progress.
Erik Engstrom: Thank you, Duncan. Good morning, everybody. Thank you for coming and for taking the time to be here today. As you've seen this morning, our positive business trends continued in the first half of 2014 with underlying revenue and profit growth across all business areas, continued improvement in profitability and strong cash generation. And we saw further improvement in our business profile and earnings quality, again primarily through organic development as we built out our leading global platforms and continue to migrate towards more advanced electronic decision tools. In terms of our financial performance, underlying revenue growth, excluding biennial exhibition cycling, was again 3%. Underlying operating profit growth was 5%. Earnings per share at constant currencies grew 11%, with the first half benefiting from the timing of our debt refinancing initiatives and share buybacks as Duncan mentioned. And our net debt-to-EBITDA ratio remained in a range that we're very comfortable with. All major business areas again delivered underlying revenue growth, with close to half our revenues coming from business areas that are growing mid-single digits or above. And all major business areas again delivered underlying operating profit growth with, as you can see from this chart, over half our operating profits now coming from business areas that are growing their profits mid-single digits or above. Let's look at the first half progress in each of our major business areas. Our STM business grew 3% as overall underlying revenue growth accelerated slightly in the first half. Primary research saw strong growth in article submissions and usage across scientific and medical, and subscription revenue growth was around 0.5 percentage point higher than a year ago. We saw continued good growth in scientific and medical databases and tools, and grew the electronic revenue growth across all segments. Declines in print book sales moderated, reflecting stabilization in the first half in nursing education markets. And pharma promotion declines continued in line with prior year. For the full year, we expect improvement in subscription revenue growth rates to continue, but some uncertainty remains around the trajectory of book sales in the second half. Risk Solutions and Business Information have now been fully combined into one business area. It already operated with 1 CEO, 1 head of technology and 1 head of HR since last year. But as of May this year, it also operates with a combined Finance department under 1 CFO, and therefore will now be reported as 1 segment. The overall combined revenue growth rate was maintained at 6% in the first half. Insurance saw strong growth driven by good takeup on new products and services and expansion in adjacent verticals. Strong growth in Business Services was driven by identity and fraud solutions. As expected, mortgage refinancing volumes were lower than in the prior year. In government, federal markets were impacted by carryover effects from the slowdown in the fourth quarter of 2013, but new sales have now returned to normal levels. The state and local segment continued to see strong growth. Major Data Services maintained strong growth and Leading Brands and Other Business Magazines & Services were stable. For the full year, we expect the fundamental growth drivers to remain strong and the underlying revenue growth trends to continue. Legal again grew 1% with underlying revenue trends unchanged. Growth in online solutions was largely offset by continued print declines. U.S. and European markets remained subdued while other markets saw good growth. The rollout of new platform and product releases continued as planned with adoption and usage progressing well. Of the 250 basis point margin improvement, around 0.5 percentage point was timing related, around 1 percentage point was driven by process innovation and infrastructure decommissioning and around 1 percentage point came from portfolio changes over the previous 12 months. For the full year, we will continue the rollout of new platform and products, and maintain our focus on process improvement. Our customer markets remain subdued however, limiting the scope for underlying revenue growth. Exhibitions grew 8% or 6% excluding biennial cycling and timing effects, with like-for-like underlying growth rates maintained in most geographies. The U.S. and Japan achieved strong growth. Europe saw modest growth overall with good growth in international events partly offset by continued softness in some domestic events. Other international markets continue to generate strong growth, albeit slightly below prior year rates in some geographies, including Brazil and China. We launched 20 new events, primarily targeting high-growth sectors and geographies and completed 2 small acquisitions. For the full year, we expect first half trends in underlying revenue growth to continue and a positive impact of cycling to be around 2 percentage points of growth. As you can see here, our strategic direction is unchanged. It's still to evolve into a company that delivers improved outcomes to professional customers across industries, to get there primarily through organic development supplemented by selective portfolio reshaping and to drive an evolution of our business profile and improve the quality of our earnings. Our #1 priority is to continue to invest in the organic transformation of our business. In terms of format migration, with print now down to only 16% of our revenues, we're now primarily focused on launching new products and services to drive the transition from electronic reference to electronic decision tools by adding broader datasets and embedding more sophisticated analytics. In terms of geographic footprint, the transformation from electronic reference to more sophisticated electronic decision tools is driving growth in the U.S. and in Europe, and we're continuing to expand in higher growth geographies. And finally, we're reducing our advertising exposure now down to only around 2% of our revenues. After organic transformation, our second priority is the reshaping of our portfolio. In the first half, we continued to limit our acquisitions to targeted datasets and analytics and assets in high-growth markets that support our organic growth strategy. As you can see, in the first half we completed 10 acquisitions of small assets for a total consideration of GBP 95 million. We also continued to dispose of assets across business areas, including further exits from advertising and marketing services, closing 6 small transactions for a total consideration of GBP 26 million. With a strong balance sheet and strong cash flow characteristics and with our average acquisition spend comfortably covered by free cash flow after dividends, we will continue to take a pragmatic approach to ensuring that the value compounding in our business translates into shareholder value. We plan to continue to keep long-term dividend growth broadly in line with earnings per share growth at constant currencies, and we plan to keep our leverage in a range similar to where it has been over the past 4 years. Therefore, for the full year 2014 as previously announced, we're again deploying a total of GBP 600 million on share buybacks; GBP 400 million was completed in the first half and GBP 200 million will be completed in the second half. So in summary. In the first half of 2014, the positive trends in our business continued, and we saw further improvement in our business profile and earnings quality. Our full year outlook is unchanged. Underlying trends in our business continue to be positive as we enter the second half, and we remain confident that we will deliver another year of underlying revenue, profit and earnings growth in 2014. And I think we're now ready to go to questions.
Erik Engstrom: Maybe today, I'll start over here and go down this way. So let's start down here or you can start at the end for now.
Matthew Walker - Nomura Securities Co. Ltd., Research Division: Matthew Walker from Nomura. Three questions, please. First one is on STM. You saw an improvement there, small improvement in the growth rate. I think it's down to new sales mostly. Has there been any improvement, small improvement, in budgets for your customers? That's the first question. The second question is on open access. I know the federal bodies, who were taking up the White House initiative, are reporting back on what they consider to be an appropriate embargo period. Could you update us on that? The last question is, I came across something, somewhere recently about Reed ventures. Is there any hidden value in Reed ventures that is material at all?
Erik Engstrom: Okay, okay. Let me take each one of those. First one you said, in STM the pickup in subscriptions. What you've seen there is a slight pickup in activity in the research market. You see, our submission rates are up a little bit, now up, just touched double digits this year and our usage growth also double digits. And you can see that new sales, a little bit higher again, right, so you can see -- so therefore, the subscription base that we have in the first half and therefore running for the year is sort of 0.5 point higher than it was about 1 year ago, right. If you say, is this specifically related to budget or any changes in budgets? I think you continue to see a lot -- significant differences by geography and by type of institution in their current budget situation. And many of our customers are still going through difficult times. So I think it's not, at this point, the right to call that there's a big trend change or some big change in the budget environment. The second question you asked was on U.S. open access development. Well you're referring to the OSTP memorandum from now, about 1.5 years ago that directed the different agencies to come up with policies. And they're still working on that, the individual agencies, and there's interaction going on between different scientific bodies, between different agencies and between industry associations. And I assume that we will hear more over the next few months on that one. But I think it's important to note that about half of the volume coming from what's under that umbrella is the NIH. And we already had a voluntary method in place from Elsevier's perspective with the NIH now since 2005 that covers, as I said, about half of what this new policy is about. The third question was Reed ventures. We operate Reed ventures for 2 reasons. Number one is for the strategic reason, which is that it keeps us engaged in very new developments in technology. And we have a group that therefore stays on top of small start-up companies and new technology developments and talk on them regularly and then introduce them to us and we get introduced to them. Then -- that is the first reason. The second reason is that we operate as a, effectively, standalone venture and that makes money. So if you look at hidden value, that is the part of the second question, second priority. And yes, there is some value there, but it's not material in the context of the market cap of Reed Elsevier. It's material to us in terms of strategic value, our first priority, even though it does make money for us. Okay.
Ian Whittaker - Liberum Capital Limited, Research Division: It's Ian Whittaker from Liberum. Again, 3 questions. I'll just come back to your comment on keeping leverage around the same where it's been over the past few years. That would suggest that at some point, relatively soon, you're going to either have to increase the level of share buybacks or indeed the amount of acquisitions that's coming through. I just wondered whether you have any point of view on that, which one do you prefer, if either of them? The second thing is just on Legal Publishing. You mentioned around 50 bps of the improvement was coming through on the margin due to timing. So if we reverse that out, should we therefore assume, probably around 200 bps of margin for Legal for the full year, does that seem reasonable? And the third question really, more of a minor one. Just in terms of the stabilization on nursing that you mentioned within STM. Again, is that more of a timing issue, or do you think that's now -- it's more permanent in nature?
Erik Engstrom: Okay. I'll answer all 3 of those. The first one on -- if you look at our leverage and our buybacks, the way we look at it is we have a clear view on what we're trying to do strategically, which is #1 organic investment, organic development. Even with pursing the ones we want to pursue, our CapEx sales -- to sales ratio is not going to change materially, have a material impact. But that's our #1 priority. Our second priority is then to do the small add-on acquisitions of datasets, content sets and analytical tools that help accelerate our organic growth. That can fluctuate a bit in terms of what we find and what's available and at what scale. Most of those are tens of millions of pounds into the purchase price. But they can come -- they can be a little lumpy, and they can come in and out. We've now pursued that strategy for about 5 years systematically. And we've averaged about GBP 300 million a year in acquisition spend, sometimes a little bit higher, sometimes a bit lower. But it's not easy to predict what will happen every 6 or 12-month period. But that's our second priority. Then if you say that we want to keep our dividend growth, our long-term dividend growth, in line with earnings per share growth at constant currency, and we want to keep our leverage roughly where it's been over the last few years, that means that we will then be pragmatic about what we do with the rest. And right now that means buyback at roughly this current level, this year. Now all these different factors could impact what that is in the future, but that's how we think about it. And we'll probably continue to have the same approach going forward even though the numbers can vary. The second question on Legal. Yes, you said in the first half and at this point today, standing here in July, right, the current run rate of margins -- if I exclude the timing effects -- the current run rate of margin is about 200 basis points higher than 1 year ago. Of course, we always try to do everything we can about our margin, and sometimes a little more successful, sometimes a little less on moving it up. So I don't know exactly what it will be at the end of the year. But today -- in the first half, 200 basis points. And currently, our run rate is 200 basis points. NHP. Yes, in the first half, our revenues, our growth in that segment, they have stabilized a bit. Now I don't know enough about the North American education markets more broadly speaking on the dynamics of the different channels to give you a prediction for the future of that industry. We're not the right people, this is such a small part of our business. There are other people who are better at predicting the future of that industry than we are. But in the first half, it has stabilized a bit. And of course, we hope that, that is a sign of something that it is starting to stabilize. But I actually don't know enough about that industry segment to give you a forecast or a prediction. I think there's still some open issues in terms of regulations in private for profit education there and so on, that I think are still playing out.
Steven Craig Thomas Liechti - Investec Securities (UK), Research Division: Steve Liechti from Investec. Just on margins again. Do you mind just going through on Elsevier in terms of, I think there's a 0.8 percentage points on the margin there. How much of that was hedging, how much of that was FX? And just explain to me, so I understand exactly what the FX effect is and how that affects the overall margin for Elsevier? And then secondly, I know you've combined risk with RBI. But looking at the numbers that you gave, the breakdown, it looks to me as though the risk margin has gone down, the pure risk margin has gone down in the first half. So relative and materially, can you just talk me through that?
Erik Engstrom: Okay. I'm going to ask Duncan to follow-up with the Elsevier FX margin comment in a minute, but I'll first answer the question around risk. Yes, if you look -- I mean, the absolute margins between risk and RBI are becoming less and less meaningful because they share all these infrastructures, and that's why we don't report them that way anymore. So for the half year, our reported segment is the combined one. We've tried to say if we just rolled it forward, it would have looked something like this. So I wouldn't take the exact number that seriously in the split up, right. But there is -- if you look at last year's margins for risk, you could see that in the first half last year, the margins were a little higher than for the full year because we had some timing issues in the year, we had some portfolio changes during the year last year. And those -- the changes that are lower this year compared to last year is due to portfolio changes. We did acquire a few small companies that we plugged in that are operating slightly differently in terms of initial cost structure than the assets that we're holding. If you look at it on a like-for-like basis underlying revenue growth, you could see that underlying revenue growth, underlying cost growth and therefore, underlying profit growth are almost all exactly the same number within risk. So we're basically following the approach in risk. And our data services in RBI are growing the cost base roughly in line with the underlying revenue growth. So we're trying to drive the overall growth rate by keeping underlying cost growth in line with underlying revenue growth.
Steven Craig Thomas Liechti - Investec Securities (UK), Research Division: Can I just follow-up just on that to make it a point? So what you're saying is there's a timing issue to some extent in the first half for pure risk, and I understand what you're saying about think about it together. But if I was forecasting, which I do on a risk basis for the full year, then the timing issues and the sort of acquisition thing should work through, so the margin full year should still be stable or up?
Erik Engstrom: Well, the timing issues were last year more than this year. You see what I'm saying. But the acquisitions have come in -- we have acquired a few companies that are slightly -- that are small, but as they start slightly lower than our average margins in risk, so.
Steven Craig Thomas Liechti - Investec Securities (UK), Research Division: So just to be pedantic. So that does mean that they're low initially because you're all sort of setting them up and stuff like that? Therefore, they will go to the group level relatively quickly, or are they going to be a more permanent drag on that margin?
Erik Engstrom: More the former than the latter. But of course, we might be buying things in the future that look different. I can't tell you what we will be -- but these are small enough that it's the initial effect I'm commenting on now.
Duncan J. Palmer: Okay. So I was going to talk about Elsevier margins. So there's actually a slide in the Appendices, Page 39, which gives you a very fulsome, I think, breakdown of the decomposition of the movements in growth rates in Elsevier or Scientific, Technical & Medical in revenue, adjusted operating profit margin, you asked about margin. Basically, the bottom line in the first half of 2014, if you look at Page 39 is of that 0.8% increase in operating margin, about 0.7% of it was to do with currency, either the hedging -- the currencies we hedge, as you know, we take some of our longer-dated subscription revenues and hedge them back into the currencies where we have operating cost, trying to take out some of that volatility in long-dated subscription revenues. That had about a 0.2% impact. Other currency movements actually had about a 0.5% impact and the actual constant currency and underlying movements in margin were basically -- margins are basically flat apart from that. So the overwhelming-- the majority of the impact on margin was due to currency, a little bit due to hedging, but majority just due to other currency movements across the board in the Elsevier business.
Steven Craig Thomas Liechti - Investec Securities (UK), Research Division: There's no funny skew in terms of your cost base to, relative to your revenues to model?
Duncan J. Palmer: Not particularly, no.
Erik Engstrom: Okay. Let's move on.
Ruchi Malaiya - BofA Merrill Lynch, Research Division: It's Ruchi Malaiya from Bank of America Merrill Lynch. On the combination of Risk and Business Information, could you tell us a bit more about whether you see more opportunities from cost synergies versus revenue synergies, or in fact both from combining base [ph] ? And also just digging into the detail there on Major Data Services, is that growing at a similar growth rate to risks down the lane and then it's the Other businesses, which are pulling down the growth rate? Should we think of Major Data Services as an ongoing growth rate being more comparable to risk?
Erik Engstrom: Yes, risk in RBI. We are putting these together to be able to drive revenue growth over time. But because we are combining the -- I think the real skills from the risk side, their expertise in large databases in powerful analytics and in very advanced technologies, we're combining that with the RBI's global geographic footprint, much more international, and their industry-specific databases -- was applied [ph] data and some other things. So we can put those together, we therefore get a combination that's more powerful in terms of driving growth in the medium to long run. So it's a strategic revenue growth driving initiative. It does not have any material cost implications. I'm just putting them together in the scale of what we -- the way we think of material. The second question was Major Data Services, are they comparable to the risk business? Yes, they are. They're very similar actually. They're very similar in profile and in terms of growth rates over the last year or 2 and in terms of growth rates we look at going forward.
Ruchi Malaiya - BofA Merrill Lynch, Research Division: Just one follow-up question. Should we continue to see some trimming in that RBI part of the portfolio. We've seen a couple of disposals in recent weeks, and is that the end game to sort of become more pure play on the Major Data Services?
Erik Engstrom: Yes. If you see what we've done at RBI over the last few years, and even as you said, over the last few months and weeks, it is consistent with the approach we're taking across the rest of Reed Elsevier, which is that we have been exiting businesses that we do not think translate into the kind of information solutions business that we want to be in, or we do not see material value creation for Reed Elsevier going forward. So we will continue to divest small business segments that are either some of these advertising and marketing services related, which is most of what we've done in RBI more recently, as well as there likely to be again, not just in risk and RBI, but in other places, some other small local print assets in different locations that we'll actually continue to dispose of just like we have in the past. But the large steps we have taken, they are harder to find, so to speak. We have done the larger pieces, and you're now likely to see a string of smaller steps.
Claudio Aspesi - Sanford C. Bernstein & Co., LLC., Research Division: Claudio Aspesi, Sanford Bernstein. Quick question. Looking at your underlying revenue growth and underlying adjusted operating profit growth for Elsevier -- for Scientific, Technical & Medical and for Risk Solutions, they're both in line with revenue growth. These businesses are largely electronic, they're largely fixed cost. What's missing that it's not leading to operating leverage providing much faster growth in operating profit?
Erik Engstrom: Yes, I think -- the way we think about it is that these businesses are large global, as you say, platform-driven businesses. We have global scale in Elsevier. As you know, we're probably the largest platform player in that segment. And they are platform [indiscernible]. You're describing it absolutely the way we see it. And in some of our risk segments, it's actually similar in those segments that we have large platforms that if what we wanted to do was to remain in the segments the way they are today and just drive them forward, their sort of inherent scale-economic, we probably could push harder to try to get sort of cost leverage out of it. But with margins in those 2 large groups today now -- as you can see in the first half, they're both over 35%, right. With margins in that scale, we think the primary future of value creation will come from revenue growth. And therefore, for us to continue to drive #1 volume growth by making sure that we're making the tools better and more valuable and so on and spreading them out and pushing volume growth first, and therefore investing in innovation and better tools and so on, the scale of our revenue growth we think is a better strategy for the longer term. And then over time, try to push up the revenue growth and keep the organic revenue growth higher for a longer period of time without trying to maximize the margin or maximize the profit leverage, so to speak, from that scale in the near term. So we think of it as a proactive decision or a strategy to manage it in that direction as opposed to managing a slightly different direction that could probably be possible.
Thomas A. Singlehurst - Citigroup Inc, Research Division: It's Tom here from Citigroup. I have one question, and it was on organic revenue growth. This is the seventh consecutive half year where you've delivered 3% organic, x cycling, which if nothing else, makes our job a little bit more boring. But the serious question is, should we ever expect that to accelerate? And I suppose the sub-question is, I presume within this, certainly within the 3%, we've seen a, I suppose, a gradual improvement in some of those sort of later cycle, more depressed revenue growth areas like STM. But the faster growth areas have maybe somewhat slowed from their run rate earlier, a couple of years ago. So as I said, the question is should we just think about 3% being the level that you can grow at, or is this a prologue to something a bit more exciting over the next couple of years?
Erik Engstrom: Well, we think what we are trying to do to the shape of the business and the way overall and the way we're trying to operate in our different market segments, we think that, that overall is creating number one, a more predictable revenue growth profile. And I think you'll confirm that you certainly think it has been predictable. But the second piece that we're talking about is also that we wanted to be a higher-growth profile, sort of on average, through economic cycles. And I think that we are structurally moving over time into higher growth segments, getting bigger in higher growth segments, and we do expect that our organic revenue growth rate will accelerate over time. Now what exactly the revenue growth rate is in any one 6-month period, any one 12-month period this year or next year, right? You said over the next couple of years. That, we can't directly control, and I don't know what it will be exactly because it depends not just on what we do, but it depends on the economic environment, in general, in our different geographies. And it depends on the specific economic situation in some of our target markets. And they have their own cycles, right -- their geographic cycles. They're also industry cycles in our target market. And that means that the exact number will vary a bit. I think the exact growth rate will vary less in the future than it has in the past throughout economic cycles. And the average growth rate, organic growth rate, over time, should be higher than it has been.
Vighnesh Padiachy - Goldman Sachs Group Inc., Research Division: It's Padi from Goldman Sachs. Slightly related to that. I guess one of the components of that organic growth has been Legal only at 1%. You've made some disposals there at Martindale-Hubbell, and you're sold out at Poland and so on. Are there other things you can do in terms of portfolio management at Legal to improve the organic growth there?
Erik Engstrom: Yes, there are other things we can do, and some of those will relate to portfolio, but they're likely to be small. I mean the portfolio changes we have done in Legal now have been -- they're slightly larger pieces. What is now left to do within Legal, just like in the rest of the company is likely to be a few small events here and there that overall won't have a material impact on the growth rate. What will have a material impact on the growth rate there is, of course, over time, what we do to improve the quality of that business. But more importantly, the overall Legal industry cycle and the revenue growth in activity levels in the Legal industries in the U.S. and in Western Europe.
Vighnesh Padiachy - Goldman Sachs Group Inc., Research Division: You've launched a lot of new products, so that helps stimulate the growth rate, or it doesn't lead the industry to pick up?
Erik Engstrom: No, the things we are doing to launch new products, meaning launch new platform functionality, different product sets or even specific new products that are separate and paid for separately, that -- they are growing well. And that does help, but we have a large core business there that is multi-year subscription that's selling into a Legal industry. And the Legal industry cycle and the Legal industry growth rate will in the near term, continue to be the main driver of our revenue growth rate this year or next year, just like it will for other players in the industry, I think.
Jonathan Helliwell - Panmure Gordon & Co. plc, Research Division: Jonathan Helliwell at Panmure Gordon. You're very clear in your priorities for driving growth and the organic focus. I'm just wondering what it would take to tempt you into making a large acquisition, either in terms of financial criteria or in terms of strategic criteria. You're clearly reaping the benefits from the current strategy. But what would a bigger deal have to offer to tempt you into it?
Erik Engstrom: I find it very hard to see something that would, at this point, tempt us into a bigger deal. When I assume that you mean bigger, you don't mean the kind of deals we've done or twice that size. You mean something that's a different order magnitude. Yes. And now I think the approach that we've had over the last 5 years has resulted in this kind of profile, which varies a bit from year to year. And if we keep having the same approach over the next few years, you could see the same profile, or you could see a little less in 1 year. Or you could do see -- I mean in theory, you could have -- we had 1 company that was in the few hundred millions of pounds, right, one over the last 5 years. Could we have 2? Yes. Could we even have 1 in 1 year? Could we have 2 in the same year? Yes, we could. But it's the same profile, it's the same approach if you look at the overall scale of the company. That is not what you're talking about. You're talking about something that's a different order of magnitude. And I don't see any strategic initiative that we're looking at today or any sort of financial argument that would say that's a better way to spend our time than to leverage the content sets we have, the asset bases we have and the technology platforms we have to drive organic growth, which we can do at very good returns. And we can also get good returns from the smaller plug-in acquisitions to that.
Andrea Beneventi - Kepler Cheuvreux, Research Division: It's Andrea Beneventi from Kepler Cheuvreux. I will stick to the traditional 3 questions, if I may. The first one is on the 0.5% growth at STM subscriptions. If I remember, while the average contract length is 3 years, and therefore, I would tend to extrapolate and use a growth rate of 1.5% for the recent contracts. Would you agree in principle with this reasoning? Second question is on Legal. You mentioned 200 bps of margin expansion without timing affect. What, if we adjusted also for the consolidation of Martindale-Hubbell and changes in perimeter, what would this margin growth rate be? And finally, on exhibitions. Organic growth is at the very top of the industry. And your portfolio tends to be rather European. So could you help me a little bit understand where growth is coming from and how you achieved that?
Erik Engstrom: Okay. Let me make sure I understood them. I think I got the first ones, so let me cover that one first. And then I want to make sure I get clarified on the second. So the first one that the subscription base in primary research, that the overall growth rate there, the overall growth rate there is there's about 0.5 percentage point higher. As we said, that's primarily due to -- the activity levels have picked up and new sales are up a little a bit. But there are also other things with the activity level up and other things coming through our current full year contracts because you've had some issues with the number of customers that are under financial pressure and have started at different points in time. As you say, some are 3-year deals, some are 5-year deals, some have been rolling 1-year deals. So there are other impacts as well. So you can't do the mathematics exactly the way you did it, unfortunately. I think the only way you can look at it is to say that, yes, the run rate right now, including new and old and in progress, is running about 0.5 point higher. And that's likely to stay for this year, and that's sort of the new base rate, so to speak. And I think that's the way you have to look at it. I wouldn't be able to try to split it out into the new component, even though that is a material part of it. But the overall activity level is up a little bit, as I said across in research, right, this year. The second question I want to make sure I understand. You said of the Legal 200 basis points. Say again, what exactly are you looking for? How much was...
Andrea Beneventi - Kepler Cheuvreux, Research Division: The growth in Legal margins, net of timing, kind of the effect that you mentioned. Net of the businesses that you have the consolidated like Martindale-Hubbell and other changes in perimeter so the underlying...
Erik Engstrom: Yes, that's what I thought you said. Yes, so if you think about it this way, the reported margin for the first half is 2.5 percentage points, 250 basis points higher than in the first half last year on a like-for-like basis. reporting basis. That 50 basis points, about 0.5 percentage point, is really timing, right. We're really running on a 200 basis points higher margin this year than last year. And of that, basically half is portfolio related. The different things we did with Martindale-Hubbell and a couple of other things, and the way they have impacted it, is sort of half. So the true organic operational like-for-like margin improvement this year is about 1 percentage point in the first half. And if you look at that, over the last couple of years, we've had margin improvements of that around sort of 50 basis points, right. And I've said at some point, it could be a little higher, it could be a little lower some time depending on how hard we work and what steps we can take and also a little bit dependent on revenue growth. But with this low revenue growth we have today, we believe that we should be able to continue to grind up margins a little bit every year organically. And that it's been more like 50 basis points organically historically. And sometimes, it can be higher, sometimes, it can be lower. This year in the first half, it's a little bit higher. Does that answer your question?
Andrea Beneventi - Kepler Cheuvreux, Research Division: Yes, it did.
Erik Engstrom: Then you said Exhibitions growth. Our Exhibitions growth, if you look at the -- well, 8% underlying for the first half. But if you strip out the cycling and timing effect, the more interesting number is probably -- it's really more like 6% like-for-like, right. That's the one that you can compare to other growth rates. We have high growth, right, in U.S. And we continue to drive very high growth in Japan. If you then look at the -- and that continues, same level as we had the last couple of years. There's no material change. In Europe again, there's not that much of a change. Europe for us, which is almost, if you think about our -- the way I think of our growth rate -- the way I think about our portfolio here, broadly speaking, U.S. is 20%, Europe is 40%, rest of the world is 40%. It's not exact numbers, but it's pretty close. So then you say, U.S. continued to grow very well the way it has. Europe continues to grow the way it has, meaning low-single digits moderate growth but pretty much similar to 1 year ago. And then you say in the rest of the world, what's happened is Japan is continuing to grow the way it has, so on the same kind of management trajectory that the U.S. has been. And in some emerging markets, you see a little bit slower growth, a few percentage points lower. So you add that all up, that's how that like-for-like has gone from 7 to 6, on a like-for-like basis in the first half. And that's really how it all adds up.
Nick Michael Edward Dempsey - Barclays Capital, Research Division: Nick Dempsey from Barclays. I've got 2 questions left. Just on risk. If we're saying that the federal government drag started in Q4 last year and should wash out at the end of Q4 and your recent contracts there have been better, can we therefore expect an acceleration and risk growth next year just from that factor? And the second question, did I understand Duncan correctly that it's going to be harder or there were fewer levers to keep the absolute level of interest coming down in '15 and '16?
Erik Engstrom: Okay. I'm going to ask Duncan to answer the second question. But I'm going to first answer your risk growth. Federal government, you're only talking about federal government here now, yes? Federal government -- let me put it this way, our total government segment of the old risk business was less than 10% of the old risk business, total government. Federal government is about half of that. So we're talking here about below, this is sort of low-single digit percent of the whole risk business just to start with. And the slowdown started really in the third, fourth quarter last year, carried over into the first quarter this year primarily. Then new sales started to pick back up again. So it started to stabilize during the first half already. So because -- so the run rate now is better than it was in the first quarter. But because it's such a small piece of risk, I mean you're not talking about the combined risk and business information, federal government is now low single-digit percent. And you're talking about a few percentage point movement there. You're not going to find it is the answer. We're describing the trends to you because the trends we have described before, but the slight differences that you're seeing now in government, they will not have a material impact on the growth rates, and especially now that they've come back to stabilization, the volatility from here is very limited. Okay, Duncan?
Duncan J. Palmer: Yes, so what we're talking about on interest rates. So if you go back a couple of years, we were running at an average interest rate on gross debt of over 5% last year. I mean it's 4.8%. First half of this year has been 4.2%. I think I said for the year as a whole, it's going to be that order of magnitude. What's been driving that over recent years obviously is lower market interest rate environment as we've been refinancing debt. And we've refinanced quite a lot of debt over the last couple of years. We've been able to reduce that rate and also improve some of the efficiency in terms of the amount of cash we carry in the balance sheet, for example. So that's also helped us to kind of make that rate come down. I think the opportunities for that rate to come down in the future are less because there's less to refinance going forward. Now what I think -- to model overall interest expense, obviously you have to have some model of how much debt you think we're going to have and what's going to happen to market rates. I don't really have a crystal ball on what's going to happen to market rates. I'm sure you're as expert as I am in that area. But in terms of how much debt we have -- and we've indicated that we're sort of comfortable with this sort of net debt-to-EBITDA sort of range we're in. But obviously, it's -- from a modeling point of view, it's a function of what kind of assumptions you're going to make about how that plays out. So we're not providing specific guidance about how much debt we're going to have. But I do think the average interest rate on gross debt is likely this year to be sitting at sort of the level that we're sitting in the first half. And going forward, I think the opportunity to make some of the, the same sort of improvement we made over recent years is probably less because there's less refinancing to do. Does that make sense?
Erik Engstrom: Okay. Well, thank you very much for coming and for taking the time to be here today. I look forward to seeing you again soon.